Operator: Welcome to the Atrium Mortgage Investment Corporation's Third Quarter Conference Call. At this time, all lines are in listen-only mode. We'll conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded Wednesday, November 9, 2022. Certain statements will be made during this phone call that may be forward-looking statements. Although Atrium believes that such statements are based upon reasonable assumptions, actual results may differ materially. Forward-looking statements are based on the beliefs, estimates, and opinions of Atrium's management on the data statements are made. Atrium undertakes no obligation to update these forward-looking statements in the event that management's beliefs, estimates or opinions or other factors change. I would now like to turn the conference over to your host, Mr. Goodall, President. Please go ahead, sir.
Robert Goodall: Thank you, and thanks for calling in today. Our CFO, John Ahmad, will start by talking about our financial results, and then I will speak about our performance from an operational and portfolio perspective. John?
John Ahmad: Thank you, Rob. I'm pleased to report that Atrium delivered very strong financial results for the third quarter. Our gross mortgage portfolio grew $40 million or 4.9% over the previous quarter to $857 million, which is the highest balance ever in the company's history. This growth was driven largely by $91 million of principal loan advances, offset by $57 million of principal repayments during the quarter. Both of these metrics were down significantly to record levels set in Q2 due to a slowdown in real estate market activity. But the slowdown in the repayments outpaced out of originations resulting in net growth in the portfolio. The weighted average interest rate of the mortgage portfolio on September 30 was 10.04%, which represented a 114 basis point increase from June 30 and a 178 basis point increase from the beginning of the year. This was driven primarily by Banking Canada rate increases. During the third quarter, Prime went up 175 bps. And given that over 70% of our loans at the quarter end or benchmark decline, a large proportion of the rate increases were path on to borrowers. The combination of growth in the mortgage portfolio and a higher weighted average interest rate drove record quarterly revenues of $20.6 million, an increase of 30% as of the prior-year quarter. Excluding the provision for mortgage losses, operating expenses remained relatively consistent with prior quarters at 1.1% of assets on an annualized basis.  Financing costs were $5.4 million for the quarter compared to $4.5 million in Q2 and $2.8 million in the third quarter of the prior year. The increases were driven by higher usage of our credit facility to support portfolio growth as well as higher variable rate on the credit facility due to prime rate increases. The annualized weighted average rate on the facility increased to 5.1% for the quarter compared to 3.65% in Q2 and 2.87% in the prior quarter. An additional factor driving higher financing costs over the prior year is a higher convertible debenture balance due to issuance earlier this year. During the quarter, we booked a $1.1 million provision for mortgage losses to increase the allowance to $9.5 million, which represents 1.11% of our gross Nordic portfolio. We do not have any impaired loans at quarter end, so the entire allowance is still performing well. The increase is driven by an unfavorable outlook of key macroeconomics there, including GDP growth, unemployment, and real estate prices. We believe the current economic environment translates into higher credit risk due to material uncertainties around input and financing costs for developers due to inflation as well as pressures on market demand as evidenced by declines of real estate prices in the resale market over the last 2 quarters.  Despite these headwinds, our mortgage portfolio remains in very good shape at quarter end. We have no impaired loans and only 3 out of 244 loans were classified as in default. On a year-to-date basis, we have successfully collected $1 million from guarantees on loans that were impaired in prior years. Net income for the quarter was $11.8 million, up from $10.6 million in the prior year's comparable quarter. Earnings per share for the third quarter was $0.27, which is higher than $0.25 earned in the third quarter of last year. our year-to-date EPS of $0.77 also exceeded prior year year-to-date EPS of $0.73. This reflects solid year-over-year cumulative earnings growth. During the quarter, we declared $9.7 million of dividends or $0.225 per share. Our earnings per share exceeded our dividends per share by $0.045 this quarter. On a year-to-date basis, our EPS of $0.77 exceeded dividends declared $0.67. As a mortgage investment corporation, a special dividend will be declared at year-end to distribute excess taxable earnings to shareholders. Overall, our business continues to produce consistently strong earnings over the quarter for our shareholders. The business remains well positioned financially for what is likely an impending economic slowdown. All else being equal, the recent rate increase of 50 bps announced by the Bank of Canada on October 26 will continue to decrease the weighted average rate on the portfolio and translate into higher revenues. The primary decrease also lay the cost of our credit facility, but the impact will be mitigated by the fact that the facility represents only about 27% of our total resources.  Our balance sheet is well reserved from a loan loss provisioning perspective with strong LTVs. As we continue to operate with modest financial leverage, with debt to total assets of 44.5%. After the quarter end, we also amended our credit facility. We added another major Canadian bank to our lending syndicate and increased the maximum credit facility to $25 million to $29 million in order to provide additional flexibility to grow the balance sheet, unsuitable opportunities exist. With that, I'll pass it back to you, Rob.
Robert Goodall: Thank you. As John mentioned, Atrium generated record basic earnings per share in Q3 of $0.27 despite the downturn in real estate markets over the last 6 months. We're also on a record pace of earnings for calendar '22 with year-to-date earnings of $0.77 a share, which is well ahead of last year's earnings of $0.73 a share. In Q3, we had loan events totaling $91 million, which reflected the significant slowdown in the real estate market. This compares to a record of $224 million in Q2 and $138 million in Q1. But to provide some perspective, any amount around $100 million is considered a reasonably good quarter of loan production for Atrium. The mortgage portfolio increased to $857 million this quarter, up from $817 million last quarter, and year-to-date, the mortgage portfolio is up more than 11.7%. Loan repayments reduced to $57 million from a record high of $201 million in Q2. I noted last quarter that a significant slowdown in both new loans and repayments is a normal feature of softer market conditions. Conversely, the market for end in the first and second quarter of 2022 resulted in an unusually high number of new loans and in repayments. We expect to a slowdown in repayments to continue over the next several quarters. We are seeing a good number of lending opportunities because there's been a noticeable flight to quality as the major banks have tightened their credit standards. We think that Atrium will be able to take advantage and backfill loan opportunities in sectors of the market for the institutional lenders used to Dominic. In addition, competition from private lenders is relatively muted, presumably because of the difficulty fundraising in today's environment. We suspect that many private lenders are facing or will soon be facing increased redemption requests from their investors. So despite a slowdown in the real estate market, we are seeing a lot of lending opportunities.  The loan quality of Atrium's portfolio remained very high in Q3, as John mentioned. We have only one $6.2 million commercial loan and 2 single-family loans in default, representing less than 1% of the total mortgage portfolio. And we continue to have an ample loan loss provision, which now totals $9.5 million, equal to 111 basis points. 100% of this provision is what we call a general provision because there is not a single impaired loan in the portfolio. In Q3, the average loan-to-value of the portfolio reduced to 61.4% and continues to remain below our target of 65%. Turning to our operations. For the quarter, 95% of new funded loans were from Ontario and 5% from BC. Year-to-date, Ontario has funded 87 -- sorry, 88.7% of new loans, while Western Canada has funded the other 11.3%. The geographic composition of the portfolio is now 72% in Ontario, 27% in PC, and 1% in Alberta. We are comfortable with this geographic allocation. By sector, 89% of the new loans funded in Q3 were residential or multi-residential loans, with the balancing of commercial loans and loans to condominium corporations. In Q3, the average rate in Atrium's mortgage portfolio jumped to 10.04% from 8.9% last quarter. This rate increase was due to the fact that Prime increased twice in Q3 by 1% on July 14 and by a further 75 basis points on September 7. More than 70% of our loans are variable rate mortgages to fluctuate with Prime. Please note that subsequent year to quarter end, Prime increased by another 50 basis points, and a further increase is expected shortly after the Bank of Canada's next meeting on December 7.  So we should see another increase in Atrium's Abbott's mortgage rate in Q4. Atrium's percentage of first mortgages continues to be high at 92%. Ontario and BC, each had more than 90% of their respective loan portfolios in first mortgages. It's worth noting that the percentage of construction loans represents only 8.8% of the portfolio. Given the level of inflation occurring in construction costs, we feel that a conservative level of exposure to construction loans is appropriate at this time. Perhaps the risk metric was best exemplified our conservative lending philosophy is at 99.1% of the portfolio is less than or equal to 75% loan-to-value, which reflects a very defensively positioned portfolio. The one and only high-ratio loan in the portfolio was funded recently in Q1 2022 and is a second mortgage to a major developer in Toronto. The loan-to-value on this portfolio is 78.9%. So there's not a single loan above 80% loan-to-value in Atrium's portfolio. Turning to defaults. There was only one commercial or multi-residential loan and default at the end of Q2. This loan has been in and out of default over the last couple of years due to, number one, the excessive amount of debt subordinated to Atrium and two, a noncooperative and unscrupulous borough who has been removed from operations in favor of another builder. Atrium is funding the senior tranche of the first mortgage and has an estimated loan-to-value of 64%, so we do not foresee a loss.  Atrium's remaining collateral consists of 4 phases which are a draft plan approved for 138 building lots as well as the 6-acre school site in the small commercial block. A private receiver was engaged in Q4 of 2021 in order to prevent the borrower from installing the development process. The receiver hired a contractor who completed site servicing for 2 phases in Q3 and is expected to complete site servicing for the final 2 phases by the end of Q1 or early Q2 2023. The estimated repayment date of Atrium's loan is the middle of 2023. Defaults in the single-family mortgage portfolio consisted of 2 loans totaling $1.15 million versus $667,000 last quarter. One of the 2 loans totaling $460,000 was brought current shortly after the end of the quarter. Overall, we feel very comfortable with the quality of the portfolio. We analyze and risk rate each loan every quarter to stay close to any emerging risks. Turning to the loan loss provision. As John mentioned, Atrium's loan loss reserve was increased in Q3 by $1.1 million, not because of any deterioration in the portfolio but due to softening real estate markets in a weak economy. The loan loss reserve is now equal to 111 basis points on the overall portfolio, up from 102 basis points last quarter. The loan loss reserve continues to have no impaired loan allocation as there is not a single loan in the portfolio where we expect to lose money. Turning to foreclosures. We continue to have 2 properties for flex and Leduc, Alberta, and the second is a 90-unit rental project in Virginia.  Leduc for Flex has a $1.1 million carrying cost and has been 100% leased all year. The Virginia apartments carrying cost is $13.2 million, which we also believe is representative of current value. Virginia, until recently, had a chronically high vacancy rate and stagnant rents, but the rental market has tightened remarkably quickly over the last 3 to 6 months. The occupancy rate in our project has risen from 78% at the beginning of the year to 94.4% as at the end of October. As importantly, tenant turnover has dropped significantly. My macroeconomic or economic commentary is as follows: The economic news in Q3 was mostly negative, the GDP growth forecast being reduced as interest rates rose sharply. GDP slowed to 1% in July and in August and is forecasted at an annualized rate of 1.6% for Q3 versus 3.3% in Q2. So economic growth is slowing, with the full impact of higher interest rates still to be felt. RBC expects the Canadian economy to eke out another quarter of slow growth in Q4, with a moderate recession following in the first half of 2023. The Bank of Canada is also forecasting slowing growth in Q4 and only 1% GDP growth for all of 2023. The one positive economic metric is the unemployment rate, which remains very low at 5.2%. In October, the Canadian economy created 108,000 jobs. As a result, there continues to be almost 1 million vacancies in the country. These pressures have caused wage inflation to increase by 5.6% on a year-over-year basis and forced a continuation of interest rate increases. In my opinion, getting the inflation rate under control in 2023 is essential for real estate, which is an interest-rate-sensitive sector of the economy. If inflation and therefore, interest rates remain elevated for a protracted period, then both residential and commercial real estate will need to be repriced to adjust to the new reality. The one positive outcome from a significant slowdown in the economy in 2023 is fewer supply chain issues, which could reduce inflation and stop additional rate increases. Turning to the real estate markets.  In the commercial market, according to CBRE, cap rates on commercial real estate are generally up 25 basis points from the last quarter. The best-performing sector is apartment buildings, with cap rates up only 10 basis points, followed by retail and industrial sectors. Conversely, cap rates from office buildings are up over 35 basis points. CBRE expects some continued pressure on cap rates as interest rates rise. Turning to the housing market. October resales were down 49% year-over-year in the GTA and 45% in Metro Vancouver. These are our 2 target markets. Vancouver reported that resales in October were 33% below the 10-year average. This drop in sales is not unique to Canada. In the United States, house sales have dropped for 8 consecutive months. New listings in both the GTA and Greater Vancouver area are still low, although total listings are gradually starting to rise. In Ontario, the month of inventory has risen from a low of 0.7% of 1 month at the end of 2021 to 2.6 months to date, which is still below the long-term average of slightly over 3 months. Inventory in BC is somewhat higher, reaching 5.4 months from a low of less than 2 months earlier this year. On a benchmark price basis, Toronto as resale prices are down approximately 18% since the peak of the market in March and April, while Vancouver prices have dropped for 6 months by a total of 9.2%.  The sales-to-listing ratios in September in both the GTA and Greater Vancouver area were still balanced but trending towards a buyer's market. In both cities, indeed in major urban centers across Canada, the sales-to-listing ratios are highest for affordable products and more depressed for upper-end products. Turning to new home sales. The price decline in the resale markets across Canada has caused sales in the new home market to slow down dramatically. In the GTA's new home market, year-to-date sales for September are down 68% on low-rise products and 21% on mid-rise and high-rise projects. Fortunately, inventory levels are down year-to-date and ended September with only 3.1 months of single-family inventory and 4.4 months of condo inventory. In Vancouver, new home sales in Q2 were down an average of 29.5% on a year-over-year basis. Third-quarter information is not yet available. Total inventory rose by 40% on a quarter-over-quarter basis but from a very low base. Almost 86% of concrete condominium units released for sale and scheduled to be completed by the end of 2026 have been presold. The real key to a recovery in the housing and commercial real estate markets is staining inflation, which will in turn allow interest rates to stabilize. Once inflation slows, the GTA and Vancouver markets should recover relatively quickly for the following 3 reasons: Number one, the structural housing shortage in both cities will only grow worse as new project launches are inevitably canceled over the next few quarters. Number two, Canada's population grew by an unprecedented 700,000 people in the last year, according to RBC. Ontario and BC added a record 300,000 and 120,000 people, respectively.  The federal government now intends to increase in creation the integration target to 500,000 people annually, and Ontario and BC attract 44% and 15%, respectively, of all new immigrants to the country. And number three, the apartment condominium rental market has been exceptionally strong in both the GTA and the Greater Vancouver area, and it keeps increasing. In the GTA, rents were up 20.4% in the third quarter on a year-over-year basis, and rental listings fell by 25.6%. And a record 36% of condo rentals actually leased above their asking rate in the last quarter. In Metro Vancouver, purpose-built rentals achieved a 22% increase in their rental rates since the start of the year. I continue to believe that the rental market will provide a floor on the degree of price reduction in the new home market and in the resale market. To summarize, Q3 was a very profitable quarter for Atrium, and we're on pace to generate record earnings for the year. Our revenues will almost certainly increase in Q4 given the 50 basis point increase in the prime rate of interest on October 27 and another likely increase in early December. The loan portfolio grew again in Q3 and is now almost $100 million above the portfolio at the beginning of the year. We continue to have only 1 commercial loan in arrears, so the portfolio is in great shape to withstand softer market conditions. Our key priorities for the balance of the year and the first half of 2023 are to continue to closely monitor the existing portfolio. Our quarterly updates on each of our commercial and residential loans forced us to stay in regular contact with each of our clients. Number two, focus on high-quality lending opportunities. We have no need to chase yield in this economic environment. So we have the luxury of searching for quality lending opportunities at a time when the banks are tightening, and many of our nonbank competitors are out of money. And number three, ensure Atrium continues to have ample liquidity. Atrium was able to access an additional $75 million on its line of credit over the last 6 months. In addition, we have identified new institutional and private lending partners to share loans with Atrium, both on a per pursue and subordinate basis. Lastly, I'm very pleased to announce that Jennifer Scalffield has been appointed Director for Atrium. Jennifer is CPA, who was previously a CFO at 2 publicly traded companies under TSX. Most recently, she was Atrium's CFO for 5 years prior to her retirement in September of this year. Thank you, and we'd be pleased to take any questions you might have.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] We'll take our first question from Graham Ryding with TD Securities.
Graham Ryding: Maybe just some color from what you're seeing from some of your clients? Are you seeing them pull back on projects or slow projects down? And if that is happening, and it's suggesting that your portfolio might turn over less, -- is that going to be enough to offset a lower origination market.
John Ahmad: Yes. So I mean, I think that in the market right now, in the housing market right now, I think most developers are waiting to the spring or moving towards the end of the winter before launching their new projects. So that will reduce turnover. I mean, a lot of the loan turnover that we had, came as a result of the big 5 banks paying us off much earlier than we would normally see on our loans. So the $201 million of repayments that occurred in Q2 was, so far in the way the largest number of repayments we ever saw. I don't know what the next highest number would be, but it might have been $125 or something like that. It was crazy how aggressive everybody was, including the financial institutions, to get business. And so I think the slowdown was naturally going to happen anyway. It really couldn't keep at that pace. I think I've mentioned in previous calls that we had 75% loan turnover in the Toronto office, which does more than 3/4 of the total business in 2021. So it was completely crazy. This last quarter was almost a more normal quarter with $91 million of new loans. So we'll see. What we are seeing is a surprising number of opportunities. I just don't think there's a lot of lenders, especially nonbank lenders, with capacity out there. And I think the banks are tightening. So it's leaving us opportunities to do business. And that's why we're searching hard for lenders. And fortunately, there's a lot of lenders who've always wanted more business from us historically who are anxious to share loans with us. So we've been calling wealthy developers who are very liquid right now and find they can probably get a higher return lending than they can buy in the new development -- and then there's Uber wealthy families who've always wanted to share loans with Atrium, but we first have to look after Atrium, who now will be very useful to us because Atrium's capacity could be full very quickly if we're not sharing loans and spreading the loan originations more to other parties. I think that next quarter, I'd be surprised if our loan portfolio is not larger, but it's very worst. I'd say it's the same as it is today.
Graham Ryding: And then when you think about sort of that activity, where are you comfortable either by asset class or geography, where are you comfortable deploying capital right now, and where you are cautious?
John Ahmad: We're still comfortable in Toronto and Vancouver. We still think they are the 2 most liquid markets in the country. We're looking at the developer very carefully. Are they seasoned as they've been through a downturn before? Are they conservatively leveraged? So we're looking at that carefully, and then we're looking at the real estate obviously as well. I don't think we'll -- I don't think will necessarily say any particular sector is completely out. We were looking at an exceptional -- I don't think we're going to win the deal, but we were looking at an exceptional sponsor group who's looking at building a spec office, not a big office building, but a spec-ops building in a terrific location. I won't say whether it was in Vancouver or Toronto because then I'll say too much about it. But we probably would be lending costs with phenomenal guarantees. So would we do that deal? Yes, I don't think we'll win it. I think at the end of the day, an institution will probably step up and do it given who the sponsors are. But we tend to look at each loan opportunity that we source and decide on its own merits as opposed to ruling out a particular sector.
Graham Ryding: And if I could throw in one more, just obviously, a higher rate of PCLs this quarter. Are you targeting any sort of allowance ratio here? Or what should we expect maybe over the next few quarters relative to sort of the PCLs that we saw this quarter?
John Ahmad: Sorry, PCL you mean the loan loss provision that we spend?
Graham Ryding: Yes, I think we did $1 million this quarter. Is that maybe a run rate over the near term?
John Ahmad: Well, it's hard to know, but we're trying to be conservative because I think the general consensus is that 2023 is not going to be the best year, certainly for real estate. It's going to be a slow and potentially difficult year. So we just want to make sure we're adequately provisioned even though there aren't really any cracks in the portfolio right now. I mean, even the commercial loan in default is really actually not in arrears. It's in technical default because we were the ones that encouraged the appointment of a private receiver just to get the project done. So we feel really good about the portfolio now. But the longer the slowdown continues, the more you're likely to see cracks appear at some point. So we're just trying to be conservative by taking that type of macroeconomic situation into account.
Operator: [Operator Instructions] I show that there are no further questions at this time. I'll now turn the call back over to Mr. Goodall for any additional or closing remarks.
Robert Goodall: Okay. Thank you for attending the call. I hope you're happy with the results. Certainly, we're pleased with the results and feel good about the future. And for those of you who are shareholders, we thank you for your support. Have a good day.
Operator: Ladies and gentlemen, that concludes the conference call for today. We thank you for your participation. You may now disconnect.